Operator: Welcome to the Gorilla Technology Group Inc. Fiscal Year 2025 Financial Results Conference Call. [Operator Instructions] The conference is being recorded [Operator Instructions]. Before we begin, we will read the forward-looking statement. Today's call includes forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements reflect management's current expectations and projections about future events and are subject to known and unknown risks and uncertainties that could cause actual results to differ materially. Forward-looking statements often include terms such as expects, believes, plans, anticipates, may, should and similar expressions. For a discussion of important factors that could affect Gorilla's results, please refer to our filings with the SEC, including our most recent annual report on Form 20-F. Except as required by law, Gorilla undertakes no obligation to update or revise any forward-looking statements made on this call, whether as a result of new information, future events or otherwise. I would now like to turn the conference over to Jay Chandan Chairman and Chief Executive Officer; and Bruce Bower, Chief Financial Officer. Please go ahead.
Jayesh Chandan: Thank you very much, Crystal. Thanks, everyone, and thanks for joining. I will keep it quick. If you want drama, the market's already provided enough already today. So I will stick to the facts. Now let me start with the headline. We reported a record full year revenue of $101.4 million, up 35.7% year-on-year. This is the first time in our history, we have lost $100 million annualized revenue. We guided the market at $100 million to $110 million, and we delivered inside that range. That matters because credibility matters, and we intend to keep it that way. Now the more important part is how we got here. We executed a real turnaround. Our IFRS operating loss narrowed to about $13.7 million from $66.9 million last year. That was a remarkable improvement of $53.2 million or 79.6% reduction in the IFRS operating loss. Now our IFRS net loss narrowed to about $11.3 million from $64.8 million last year and 82.6% improvement. And IFRS basic EPS improved to about $0.51 from negative 6.13%, which is a 91.7% improvement. So yes, it was a proper swing. It was not just a cosmetic one. We did all of this while keeping the underlying profitability at scale. Adjusted EBITDA came in around $19.1 million and adjusted net income was about $19.9 million and with our adjusted basic EPS being $0.89 and an adjusted diluted EPS at 0.88. What I can tell you is that it is strong and it is very disciplined. Now I know what comes next because investors always ask it, how did we do versus expectations. For the fourth quarter the market consensus was roughly around $34.75 million of revenue and adjusted EPS of $0.30. Based on our full year results, our fourth quarter revenue was approximately $35.6 million, which is well above consensus. And based on the implied fourth quarter adjusted earnings, our adjusted EPS was roughly around 0.37, which is about 22% beat versus the $0.30 consensus. Now for the full year, the market consensus was approximately $100.6 million of revenue with a $0.8 billion for adjusted EPS. We delivered roughly around $101.4 million of revenue and delivered about $0.89 adjusted EPS, which is about a 6% beat versus consensus. So the message from my side is simple. We delivered record revenue. We delivered a major IFRS turnaround. We delivered underlying profitability that exceeded expectations. Now let's just talk about the broader market because it has been volatile. The market conversation has shifted from -- you beat the quarter to, with AI spending hold up. And I'm sure all of you have seen this in the last few days and weeks. That is a fair debate, but personally, it misses the bigger picture. AI is no longer a discretionary software trend. It's rapidly becoming a national capability and a core operating layer for enterprises and governments. Now the next phase of AI demand cannot be defined by 1 buyer or 1 deal. It will be defined by many buyers across various sectors, building permanent capacity, governments; regulated enterprises, telecom operators, logistics networks, financial services platform. This list is long and the spend is becoming structural. The compute is also evolving at a rapid pace. This is what the market is really missing. Now AI compute is actually shifting from training that cycle to an influence led cycle. This is important because this does not reduce demand. It broadens demand, inference pushes AI into everyday workflows and mission-critical operations, which increases the need for distributed compute across regional data centers and edge environments where latency, data residency and resiliency requirements matter. Now this is where edge becomes a major driver, as most of you know, we were one of the leading edge companies when we went public, and we continue to invest heavily. Edge compute expands, and what AI can do because it moves inference closer to the decision point is closer to the sensor, closer to the customer interaction, closer to regulated data. It comes a force multipliers for adoption in public safety, transportation, logistics, financial services, telecom networks, industrial and the whole plethora of smart cities. Now let us talk about scale of the infrastructure market in our region. We're not kind of relying on slogans. We're tracking that data very, very closely. We have an internal team, we have a research team, which is doing that, and we use external data at the same time. Now we see Asia Pacific data center investment growing from roughly $30 billion in mid of 2026, up roughly to about $90 billion by 2031. We see installed capacity broadly doubling from about 29,000 megawatts today to about 63,000 megawatts by the end of the decade. Now Southeast Asia also follows the same trajectory, going from the low teens of billions towards roughly $30 billion by 2030 as more capacity is being built in the market rather than exported offshore. India is another example. It's scaling very rapidly. From a little over 1 gigawatt of installed IT load today, they're moving towards about 1.8 gigawatts by 2027 and to multiple gigawatts by 2030. We're seeing the same trend in the Middle East. We're seeing the sovereign build-out dynamic with market growth from low single-digit billions to a high single-digit billion by early 2030 as governments and national champion scale local compute and secure infrastructure. This is the structural build cycle we are positioning Gorilla for. So what are we doing in '26? We are advancing our AI infrastructure and data center build strategy well across Malaysia, Thailand, Indonesia, Singapore and the other regions, including Taiwan and so on. We're expanding our evaluation work in India. We're progressing our strategy in the Middle East which included Saudi Arabia, where MOU has already been signed and we're very actively exploring data center development opportunities in that region. We're also exploring opportunities to buy and/or build our own data center assets. Ownership changes the model. It gives us more control over our delivery and stronger long-term positioning and the potential to build recurring infrastructure-led revenue streams rather than relying on project cycles. Now in parallel, we are also strengthening our product edge for its next stage of adoption. Our first quantum cryptography is targeted to be ready in April 2026. At our local interception product suites remain in continued research and development as we expand sovereign grade capability across security and intelligence as well as compliance-led deployments. Now come 2027, we're also now putting a team together, which would be investing very heavily into 60 local interception as well. Now we have currently got about 300 full-time employees today, a little over 200-plus contractors working on all the projects we have signed. But based on just the projects we have recently signed we anticipate growing to about 1,200 to 1,500 full-time employees by mid-June next year, and that would be about an additional of roughly around 700 to 800 contractors. So we'll have roughly between 2,000 to 2,500 employees for the company at any given point of time. Now investors want proof. They want execution, not a narrative. So I will speak directly about the signal that matters, delivery and collections more about the cash conversion. Our top customers are progressing very strongly, and our customer satisfaction is reflected in our payment behavior, okay? In the first 2 months of 2026, we have collected more than $22 million from our largest customers for solutions delivered and invoiced in 2025. We also expect meaningful collections in the coming weeks. Now we finished the year 2025 with about a total cash of $104.8 million. But what was very important that we did all this by reducing the total debt load to about $13.8 million, which is 35.6%, lower from the $21.4 million in the prior year. Now through the refinancing of certain lending agreements and the repayment of others, we also reduced our debt, releasing more than 5.3 million of deposits previously held as collateral against some of these loan obligations. Now this kind of balance sheet gives us very meaningful flexibility to execute existing programs, fund working capital to delivery cycles and scale our infrastructure strategy with discipline. Now we've also spent at the same time, more than $11 million on buybacks today, which we believe the market continues to undervalue Gorilla relative to our performance and our strategy. Personally, I think you could call this confidence. I call it arithmetic, right? Why? Because that leads me to my next point. We're aiming to be cash flow positive in 2026. That's not just a slogan for me. It's an operating objective that comes with very disciplined delivery, disciplined overhead control and a very disciplined cash collection. And finally, a lot of people have asked me this question over and over again, Gorilla Technology Capital. Personally, it's a game-changing catalyst for our next phase. It's designed to expand our ability to execute larger infrastructure programs by structuring capital efficiently, aligning long-duration funding with long-duration assets as well as enabling our customers to move faster with clear financing pathways. Some people said, hey, maybe they're buying the bank. No, we're not buying a bank. I mean you guys have to understand, what Gorilla Technology Capital does it strengthens our ability to scale data center build, accelerated GPU infrastructure deployment and importantly, we participate materially in larger mandates with institutional-grade structures and governance. So if I summarize 2025 in one line, we delivered a historic revenue milestone, we executed a major profitability turnaround, we strengthened the balance sheet and positioned Gorilla for the next stage of AI infrastructure, which is sovereign and regional, more importantly, distributed, which is becoming increasingly edge-enabled. In 2026, we shift from proving we can build the work to scaling what we can deliver, converting execution into cash, expanding our data center footprint across India, Malaysia, Thailand, Singapore, Indonesia, Middle East and more importantly, using Gorilla technology to unlock materially larger programs without compromising. All this while accelerating our product road map, which means we're investing heavily into R&D. Thank you for your time. I will hand over to Bruce, who knows the numbers well enough to recite them without blinking. Bruce, please go head.
Bruce Bower: Thank you, Jay. I think you covered the main points in terms of the financials. I wanted to hit on a few things. So first of all, we mentioned that the cash balance at the end of the year was $104.8 million. I'd just like to emphasize that due to the collections so far this year, the cash balance actually increased. So as of the 26th of February, it was $108 million of unrestricted cash and $116.6 million of total cash. That is in spite of spending $3 million this calendar year, so in the last 2 months on share buybacks. So we have been able to increase cash and also buy back shares this year. So it's a strong start to the year. The other thing I would point out is when we talked about freeing up the debt load -- reducing the debt load and freeing up cash deposits, some people asked, why didn't you pay off all of the debt? Well, the debt that we have remaining, the $13.8 million is at an average interest rate of 3%. So to be blunt, it makes sense to keep it as flexible capital instead of repaying it and borrowing at higher rates. The last thing I would talk about is we issued guidance last year of $137 million to $200 million as the revenue guidance range for this year. We are maintaining that. At this point, we're not prepared to issue gross margin or EBITDA guidance, but stay tuned in the coming months. We announced that basically the range for why is there such a wide range of $137 million to $200 million. It depends on the delivery schedule of certain data center projects we're pursuing with Freyr and also with others. That I think we'll have a very good update coming in the next month to 1.5 months about the timing of those projects, about the delivery schedule from NVIDIA and then also with the customers, and that should help to firm up the guidance and give you a better idea. With that, I'd just like to reinforce what we mentioned in the press release, what Jay said, we believe that the balance sheet has improved to the point where we're able to fund growth initiatives and also to buy back the shares that we feel that they're undervalued and that we can take on a lot of the growth projects that we've talked about, not just the increase in revenue this year, forecasted to be in the middle of the range would be almost 70% increase but also the contracts that we have in the pipeline, so a $7 billion revenue opportunity in the pipeline. We believe that we can fund substantially through the access to debt facilities, mostly through project finance and then through the cash that we have on the balance sheet at the moment. With that, I'd like to turn it back to Jay and if he wants to open up to questions, we can do that.
Jayesh Chandan: Thanks, Bruce. I'd love to open up the questions to all standing by. Thank you.
Operator: [Operator Instructions] Your first question comes from Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: Yes. Close enough. You've come certainly a very long way over the last 2 years. Congratulations on that. Has anything changed in terms of your best guess on timing for the first 3 phases of the Freyr partnership. I think the plan was project financing to help you start in April for Phase 1, September Phase 2 and December for Phase 3? And then the second part of that question, outside of financing these projects, are there any gating factors to starting these projects? And if so, what needs to happen in those time frames?
Jayesh Chandan: Brian, good to hear for you and thank you for your kind comments. We are on track with where we are today. Obviously, considering the market forces today, we have had some slight delays in terms of the delivery. But that said, let me kind of walk you through what has happened, some programs have moved in terms of timing, and we talked about the Freyr contract, for example, that is on schedule. We are currently in the final stages of getting our first set of GPUs coming through over the next few days and we'll be deploying it as we speak. We have also accelerated the timing on some of the data center discussions when we spoke last, I think we were looking at about 12.5 megawatts of data center. If you recollect and we were looking at roughly around several hundred high-density allies. What we did was rather than kind of commissioning them all on a single day, we're slowly putting them in plant-based. So power cooling network zones are all commissioned. Revenue ramps are going to be energized as we speak. And as the racks go live, we will drop in the clusters through our partner ecosystem, which also drives what I call the GPU as a service usage line. Now what is very exciting for us, and I can tell you today, as we have now realized that we would need to kind of be deploying a lot of capital in the data center space ourselves because we have been inundated with a ton of requirements. So we are now currently looking at about more than 600 megawatts of capacity rather than the 12 megawatts alone. And that allows us to control our destiny over a period of time, which means we're looking at several hundred million dollars per year once all these racks and the GPUs are all in motion. So from our perspective, Brian, the part to that particular point is a very controlled ramp-up, not a single bank. Now you talked about, are there any delays. There are no significant delays so far. Thailand MOU, for example, it has been delayed because of the political transition, some sort of departmental organization. As you know, the new prime minister that has been elected. So we're just waiting for the postelection leadership and sign-ups to settle as we speak. But otherwise, we are not facing any delays. We're going ahead with all of the approvals, all of the permitting, all of the site readiness, all of the customer prerequisite [ slip ] as we go into it. So when the customer gates reopened now, I think we will start our billing on time. I hope that answers your question, Brian.
Brian Kinstlinger: It does. My second question is you've got this large pipeline of other data center opportunities you've discussed. And not to say that your business development has been slow. It's been very fast. But do you think those customers are waiting to see how execution is on the first Freyr contract? Is that going to, in the near term, hold back agreements? Or do you think those will be able to move forward without delivery on those 3 projects?
Jayesh Chandan: Absolutely not. Like I mentioned, our pipeline is exploding. And we have not been slow in our sales, Brian, I can tell you only the thing we've been doing has been restricting. We've been inundated and I'm not exaggerating, inundated is the right word for that. So first of all, the deals are mature, at the start of the year of January this year, we were looking at POCs and MOUs and so on. So it was very promising. But since then, we have moved into late-stage commercial structuring or improve force contracting, which naturally kind of increases the scale and the certainty of the pipeline. If you recollect what I told at the end of December, towards the end of December, we are making sure that we have certainty of the pipeline. Now I mentioned the $1.4 billion Southeast Asia contract, that was only a catalyst. Once the government and telcos basically saw what we are able to deliver and we started signing up with the first 12.5 megawatts suddenly out of nowhere, it triggers some sort of a sovereign grade AI infrastructure requirement and a huge surge in interest for us. So I don't want to give you names, but what has happened is the demand behind that is significantly larger than Freyr itself. So that's one of the primary reasons why our pipeline is now in billions of dollars. Third most important part is things have changed from ambition. Governments are no longer looking at as an ambition, it has turned into urgency for us. Now I mentioned this last time as well. Not only are we looking at GPU capacity as strategic infrastructure, the shift that actually moved into edge compute, distributed environments are taking shape right now. And like I said, the market has missed that already. People think, oh, is the spending going to continue? It is going to accelerate. It is not going to continue at the rate it is going. It is going to go exponential. We are sitting with every single major customer on the planet. And I can tell you, these platforms are just going to explode in terms of compute requirements and demand. Then finally, our execution has not just been on one data center, Brian. We've been doing data centers for a very long time. We built data centers on behalf of government, for example, in Taiwan, in Thailand, in Egypt and so on and so forth. So things like when we deploy large-scale local interception programs, which are more complex than putting up a data center, the governments and the organizations, they look at it and say, look, what has Gorilla delivered, they see that and the confidence grows. So we are not resting in our past laurels, but we are putting everything into motion. So like I said in my previous response, we are now targeting over 600 megawatts of power. So the opportunity ahead is very comfortably substantial, Brian, and it's only growing.
Brian Kinstlinger: Great. My last question. You highlighted recruitment needs. It's in my career and your type of business is always a great leading indicator. How would you characterize the recruiting market in the geographies you're hiring? And then outside of the execution staff, are there significant AI HPC senior executive level that gives you that add strategy and expertise at the high level?
Jayesh Chandan: That's a really good question. So as you know, we are hiring at a rapid pace. What you don't see is on our website, the names of the top people we have hired already. In Thailand, we're actually going strong with hires of about 80-plus people. In Taiwan, we have deployed a significant data center team and an R&D team for our cybersecurity products. We have done that through what is called as a hub-and-spoke model. This is very important because our R&D platform and engineering needs to accelerate both our product and our services capabilities. So on the services side, as you know, Satish came in mid of last year, and he's been driving all of the client impact and deepening our technical capabilities. On the R&D side, we've been hiring SD-WAN, post-quantum cryptography, local interception capability, video analytics, we've been growing that product. And over -- like I promised, by April, we would have a fully launched world first, fully ready post-quantum crypto SD-WAN. And we're already working on massive proof of concepts with customers as well. But this is what matters, Brian, localization. Every single region we're working in, whether it's India, Middle East, North Africa, Southeast Asia, East Asia. They're all asking about how are you building stronger ground capacity. So what do we do? We are building teams in Thailand. So my team in Thailand, for example, because we're looking at some very large data centers here, will be about 1,000 people by the end of this year. It will be probably 1,000 people in Thailand, will be about between 200 to 300 people in India and our Taiwan team will be north of 200-plus people. Now we are hiring senior executives as well at the same time. As you've seen, Thomas has come in and joined us as CTO of Infrastructure. Jackie has coming from the hardware side and become the GM for Asia. We are also hiring next-level capability under them as well. At the same time, we're also making sure that finance and compliance are also tightened. So we are hiring to improve cash discipline, collections, control, audits and so on and so forth. So think about it this way, the hub-and-spoke model is going to be centered across each of these regions. And as we expand and grow, we will be expanding our teams rapidly over the next course of few months, and the teams are all ready and running at a rapid pace.
Operator: Your next question comes from the line of Bharath Nagaraj with Cantor Fitzgerald.
Bharath Nagaraj: Thanks for the presentation. Just a few questions from me. Just to start off with on the gross margin. Just wondering on the mix, which resulted in a, let's say, a slightly different gross margin than what I was expecting, but I just wanted to understand what the mix of revenues is? And then the second question is around -- given that you're going to deploy the latest compute for data centers in Southeast Asia, what kind of level are you -- level of revenue are you modeling per megawatt there? What sort of use cases are you thinking about for that?
Jayesh Chandan: Bruce, do you want to take the first part of the question? I'll take the second part.
Bruce Bower: Sure. So I think a better way to think about it is 2024, we had abnormally high service mix in the revenue mix. So the majority was service. And then it was a higher percentage of hardware in 2025. It was sort of 40%. So that's why the gross margins were a little bit lower than you would expect. The other thing is that we announced last year that we had signed 2 major law enforcement customers in Asia. And in at least one of those cases, the margin that we have predicted going into the project was a little bit lower than we normally except that's because it was a key win for us as a client and as a solution to demonstrate our capabilities. So altogether, that is why the margin drifted a little bit lower. I would say that going forward, so building on what Jay mentioned about the pipeline is we are much -- we have the ability to be very choosy about the projects that we do. So because we have so much demand, if the margin terms -- if the credit terms or the credit profile of the customer isn't right or if the payment terms aren't there, then we just say, I'm sorry, you either come in line or we'll move on to the next project. The other thing is that the data center -- the GPU as a service has an extremely high gross margin. So it's 70% plus, 70% is kind of the minimum cutoff. There is obviously a depreciation hit because we would -- an SPV would hold the equipment and then that would be consolidated onto our financial statements, and we will take the depreciation charge, I would say, at scale, that would be like a 25% operating margin, but that is at scale, I'm not providing yet the forecast for margins for this year. We're going to wait until we get the exact details firmed up. But so that's how I would say 2025 is kind of a dip in terms of gross margins, and I would see them improving over time and a much stronger margin profile for all the new business coming in?
Jayesh Chandan: Just to add to that as well, Bharath, more importantly, we're investing very, very heavily into building the business for sustainable long-term growth and gross margins, right? Now that brings me to the second part of your question. Now, in terms of pricing today, in Asia, it's structured either in what we call as capacity per server per month or in terms of usage per kilowatt hour depending on the customer and the program. Typically, for sovereign enterprise deployments, we are targeting contracted multiyear take-or-pay kind of a style, where the pricing and sustainable margins and cash conversion is predefined. So we know exactly what we're getting ourselves into. Now we avoid quoting a single rate. I mean personally, I don't want to quote a single rate because it varies by GPU class, as you know, term length, utilization profile, power, cooling specs, location, land values, service level stack and so on and so forth. But the proof point for us comes only when we sign these programs where the unit economics are very disciplined and our collections and our milestone payments protect our cash. So there is no single kind of an Asia price, if I may. We're not just looking at Southeast Asia, by the way, there's no Middle East or Asia price. But that said, I can tell you, typically, if you're looking at CSP cloud GPU rack capacity, they can run in high 4 figures to low 5 figures per GPU per month, when bundled with power, floor space, connectivity, managed services, but also remember, these are long-dated fixed milestone agreement. So we often layer, what we call a service level fees, compliant components and so on and so forth. Now each of these can change, for example, in the U.S. spot rents for top-tier GPU can be 2x to 3x typically on what you see on structured regional capacity in Asia. But what we are doing is that we are not putting a standard rate. And because our compute requirements are more stringent here and our contracted deals are much more longer, we are able to create a highly what I call competitive pricing as opposed to even the United States. So think about it this way. Where compliance premium and service premium will do about 20% to 40% where we include covenants, telemetry, managed the ops and so on and so forth. But the energy cost differentials mean that Asia deals are often much more profitable. So if I may say this, comparing Asia and the U.S. is like thinking like hotel in Vegas might be cheaper, but penthouses in Bangkok are much more expensive than some of them even in Manhattan. Does that answer your question, Bharath?
Bharath Nagaraj: Yes, absolutely. May I just sneak in a quick couple more, small ones. Does the Astrikos acquisition that you made, does that carry like -- in terms of your strategy, does that -- are you planning -- do you have an explicit pricing and margin contribution for the new contracts that you signed for this? Or is it currently being bundled to strengthen your competitive advantage and increase like long-term customer lifetime value?
Jayesh Chandan: That's a great question. Let me kind of give you an update to why we invested, why we are integrating, right? I think that's your question. And what are we going to do? What does your springboard look like, right? If you'd ask me -- that would be a question I would ask myself. When we actually looked at Astrikos -- first of all, what is Astrikos? Astrikos is a real-time infrastructure intelligence engine that does monitoring prediction, optimization for critical systems. Now it is already a deployed system in very serious environments, including some high state level smart city platforms, for example, the new Indian Parliament complex. I think you and I talked about it previously, and major initiatives in the Middle East as well. That matters because Astrikos is not a demo, it is a fully deployed solution. Now your second part of your question, what are we doing with it? We're integrating the Astrikos into 3 parts of our stack. First, most important, smart city and national infrastructure operation. It gives us telemetry and prediction layer that makes national infrastructure more measurable, but at the same time, optimizable in the real time. Now what does that mean? It strengthens our ability to sell outcomes, not just the technology, with real uptime and response time, threat detection. And finally, we have what is called generating high operational efficiency for the customer. The second is video intelligence and security. Now Astrikos typically announces real-time monitoring, your decisioning around critical infrastructure, security and operational workflows. It complements our video intelligence stack, and it allows us to improve our operationalization of the data across our SOCs and NAC environments. And finally, this is very, very important, this is a big one. GPUs which data centers and environments are like a standard in a data center, you cannot run very heavy GPU environments. You will need continuous telemetry, predictive optimization, integrated security and operational automation. This is where Astrikos actually plugged into that requirement. And then on the kind of the springboard and if I was looking at Astrikos, for me, it's a springboard in India, but it's very immediate because it brings deep presence in the region, shortens our sales cycle improves our delivery readiness. In the UAE, we are already kind of working on building our Middle Eastern footprint. In the U.S.A., it's a standard and a partnership-driven market. So we are kind of progressing market level entry work in that region as well. So think about it this way. We're a significant minority investor. We have an option to materially increase our ownership, but also giving us a lot of flexibility to integrate and progress the traction on a very large commercial scale. Bharath?
Bharath Nagaraj: Yes, absolutely. That's very helpful indeed.
Operator: Your next question comes from the line of Mike Latimore with Northland Capital Markets.
Mike Latimore: Congrats on a great year, excellent results there. I guess just a couple of things. You talked about maybe some more collections coming in here this quarter. Can you frame that a little bit more? Is that -- are we talking a few million dollars? Are you talking over $10 million or maybe you can't say it, but just kind of curious on that?
Jayesh Chandan: Bruce, do you want to take that?
Bruce Bower: I would say it's plus or minus -- it's $10 million plus or minus a few million -- $2 million to $3 million on either side.
Mike Latimore: Okay. And that relates to the 2025 effort?
Bruce Bower: It's solutions that were delivered and invoiced in 2025, yes.
Mike Latimore: And then just to keep it simple for me here, the large Southeast Asian deal, so it sounds like pretty much no change there in terms of total value or value by each of the first 3 data centers. Is that right?
Jayesh Chandan: That's correct. But that has become a catalyst like I mentioned previously.
Mike Latimore: Okay. Great. And then Jay, you talked a little bit about maybe seeing your first group of GPUs in the next few days. I guess just a little bit more on that. Does that specifically relate to the Southeast Asia deal? And then also did you sort of say that you expect sort of to get some of these GPUs every week and then that builds over time? Or maybe just a little more clarity on kind of that pattern?
Jayesh Chandan: Sure. So I think we were creating a flywheel effect, if I may, Mike. What we are doing is we are making sure that we have delivery coming in every week. So the latest agreements we have with our OEMs is that starting next week, we're getting a few deliveries going in. But again, I mentioned this previously as well, we've actually won other contracts as well. So we are actually delivering against those contracts as well. So you will see a regular flow of -- that's why we've hired a very solid procurement team as well, which will make sure that these deliveries are on time. So for us, these data centers are driving GPU demand. And for us, our GPU demand unlocks much more deeper national engagements. So don't look at as the Freyr contract is a one-off. This is actually, like I said, a catalyst to some very large contracts we've already signed. We've also agreed by the way, with all of the OEMs, local OEMs in the region. We have signed all of the MOUs that's required, we've signed all the LOIs and the pricing agreements, the BOMs have been done, the SOWs have been completed. And as you know, we are now just working on the delivery schedules and the mechanisms over the next few weeks.
Mike Latimore: Got it. So these GPUs will go to more than the Southeast Asia customers, it sounds like?
Jayesh Chandan: Yes. If you give us a few more days, please, on that. I'll give you a very concrete schedule as well.
Mike Latimore: Okay. Great. And then I guess in terms of the Southeast Asia deal, the first data center, you're still thinking gets up and running in the second quarter?
Jayesh Chandan: We're trying to push it for the first quarter, depending on the delivery schedules. But I'm 100% confident, 101% confident that it will be live second quarter. We've just completed the agreement on the BOM. We have sent the BOMs to the -- our OEM partners. Obviously, as you can imagine, it's not just the GPUs coming in. You've got a whole bunch of networking equipment, which have to come along with that. And as we kind of scale up with the customer and the demand accelerates, we will have to then kind of build on top of it. Now one of the things, Mike, I think your question leads to another important aspect. We have been struggling to get all of the compute demand from our end customers to be satisfied in the regions. As you can imagine, the U.S. is investing in hundreds of billions of dollars, we don't see that kind of investment within this region. Yes, we've seen KKR acquired STT for $10 billion recently. But again, to deploy at data centers at scale, we need a lot more compute. So we have decided internally that we were going to build our own using modular technology. So we're currently targeting about 600-plus megawatts. And hopefully, fingers crossed, we should be able to complete all of the signing of those by the end of this year as well. And we'll be going into full-scale production towards the latter part of this year as well. So we're super excited, and we think we are actually creating a new market, which doesn't exist currently.
Mike Latimore: Great. And then maybe the strategy to buy and build some of your data centers changes this question. But I think on your business update call in January, you mentioned that you're trying to lease out any available capacity you can in colocations across the regions? I guess any update on more -- any new leases that you've executed on?
Jayesh Chandan: Yes, yes, yes. We already have signed many deals in the region. It's absolutely fascinating. But the problem is, like I said, it doesn't exist, whether it's 9 megawatts, 4.5 megawatts, 9.9 megawatts, 21 and 25, that's kind of the available capacity today, okay? So you're absolutely right. What are we going to do? We're simply going to turn and build new capacity and deliver infrastructure ourselves to the end customer, right? Mike, I've not made this -- maybe I've not made this clear previously. Our demand is in hundreds of megawatts, okay? And Asia, not just -- I'm not talking to Southeast Asia or East Asia or even South Asia, Asia Pac as a whole does not have the capacity right now. India, for example, has only 1 gigawatt of fully utilized scale. And as you've seen recently, they had the AI Summit and India is absolutely going bonkers in terms of deploying the scale. But there are other structural issues. We need power, we need water and so on and so forth, right? So we are working. And just FYI, we are working very closely with the Indian government, to make sure that we get our infrastructure ready across various requirements and various architectures and edge deployments in the country as well. So long story short, keep the eyes in your field, we are definitely headed in the right direction over the next few days.
Bruce Bower: One thing I would add to that is, when we're looking at reserving or lining up capacity or building it ourselves, this is a different -- we're not in the business of building scale and building it and hoping the customers come. So the business here is purpose-built, AI-focused data centers or GPU as a service for those clients. So what that means is, first of all, we're not going to invest capital until we see clear customer demand. The second thing is that we demand customer prepayments so that money talks. And then in most cases, the customer prepayments are an integral part of our financing strategy, so that in between project finance and customer prepayments we can secure 90% plus of a project CapEx cost. So what we found is that when customers show commitment upfront, it obviously makes us more comfortable to move ahead and also makes it more likely that the economics work in our favor.
Operator: Your next question comes from the line of John Roy with Water Tower Research.
John Marc Roy: Obviously, some things changed over the weekend. I was wondering if you could give us any kind of update on operations or outlook for the Middle East given the Iran-U.S. situation?
Jayesh Chandan: Mr. Roy, thank you for the question. First of all, to everybody who's listening and everybody out there, I'm genuinely sorry to see what is happening. My heart really goes out to all the families caught up in this and to everyone who's lost their loved one. I'm feeling very, very sorry. I've got friends across both sides of the pond. Now from a business perspective, John, we are monitoring the situation very closely. And as you know, we have a very, very, very disciplined risk posture. At this point, we're not seeing any material impact on any of our operations. Egypt is progressing at full flow. Our delivery continues to against plan. And across the region, we can -- we're continuing to execute with a very appropriate caution, strong compliance and a very clear operational controls. Now what we are watching for are very practical factors that matter, logistic routes being one, supplier lead times, local security conditions, FX exposure, collection cycles, any regulatory changes that could affect movement of goods for personnel. If anything changes, the impact would likely show up on timing rather than demand. In that case, we will respond very quickly, protect delivery -- quality of our delivery, update the market when there is something definitive to report. But the trends, John, are in our favor and they favor us very strongly, and they're accelerating, not slowly. I hope that answers your question.
John Marc Roy: Yes, it does. Actually, speaking of trends, and you obviously was talking about AI in India. Can you give us maybe take a step back and look at the macro AI environment? And what do you see happening out there in general?
Jayesh Chandan: Sure. That's actually a good question. I think a lot of people keep asking me, and I've been speaking about this at various events as well. I would divide this into what I call 3 different trends, John. First one, in no order, right? AI is currently becoming national and a regulated infrastructure. If you look at governments, telecom operators, regulated enterprises, they're all treating AI compute as strategic capacity tied to their sovereignty, data residency, compliance and critical services. Now that shifts demand from optional pilots to what I call targeted programs with long duration and intent. So think about -- look at Asia. They are rapidly drawing up their shops now and thinking we don't want to fall behind. And so now they're coming up with large budgets, but more importantly, their long-duration intent, as I mentioned. Now the second side to that is the center of gravity, and this is very, very important. Again, I don't know why I'm stressing this, but I would stress this again, market is getting this wrong completely. It's all -- people are talking about, oh, is market going to sustain the investment into AI. The companies are investing hundreds of billions of dollars in the U.S. and in China. The center of gravity is moving from training to inference and from inference to distributed inference. Training is very lumpy, okay? Inference is very persistent. You need to take that. I think most people on this call, I'm happy for you to take this message. Training is very lumpy. Inference at the same time is persistent, which means as the inference moves into everyday workflow, your compute demand spreads across regional hubs and closer to the data source which drives out more build of regional data centers. It is not going to slow down. It is only going to go up exponentially. And that brings me to my third trend, which is edge. Now edge is expanding the addressable market dramatically. Edge brings AI to the decision point where latency, privacy and resiliency, all matters. So what happens now? It accelerates the adoption across public safety, as I mentioned previously, transportation and telecom networks, logistics, industrial operations and so on and so forth. These things do not replace data centers. it multiplies them. Once again, it multiplies them by creating more endpoints that we absolute regional capacity and orchestration. So think about it this way. In the future, you're going to find a lot more what I call, distributed inference points, which will create a huge requirement of regional capacity. And that's why if you see the likes of OpenAI or Meta or Google or anybody else in the market, they are moving across a distributed environment. And those trends favor us very, very strongly, and they're only accelerating John, they're not slowing down at all.
Operator: [Operator Instructions] Your next question comes from the line of Barrett Boone with RedChip.
Barrett Boone: Jay and Bruce, congratulations on the transformative 2025. I just had one question regarding quantum safe networks and your SD-WAN product. Can you share some concrete milestones that investors can look for?
Jayesh Chandan: Sure. As I've mentioned previously, we have actually created a very strong product, and we've already tested it very effectively in the last few months. Roger's team is very confident that they will be able to launch it by end of April 2026. Now just to give you, when we deploy AI infrastructure, we're not just dropping GPUs in the room. We're talking about secure connectivity, telemetry, orchestration and compliance layers, okay? These are very, very key important. People need to understand we're not selling hardware or we're not renting hardware. We're providing a service. That means your SD-WAN plus your quantum safe encryption allows us to control the network edge to the core very securely. That increases for us the solution value and improve the margin mix. That's number one. Second, our quantum solutions and why the people be like, oh, they're just going after it because it has the word quantum. No, we're not. People think that are idiots. They make edge AI viable. Why? Because edge compute only works at scale, if connectivity is intelligent and more importantly, it's secure. So what does SD-WAN do? What does our post-quantum SD-WAN do? It gives us traffic optimization, it allows segmentation and performance control. Now post-quantum crypto future proofs the transport layer. So once you build the transport layer, it will help future proof that and together with the distributed AI architecture, which we just responded to, it makes these architectures deployable both in a national and an enterprise environment. Now what does that make us? I think that was probably where you were headed towards with your question. They do not position us as a rent or a compute for rent kind of a provider. It positions us as a trusted operator. That means we can design sovereign grade, quantum safe, policy-compliant AI network. And more importantly, we can help these GPUs generate additional revenue, secure the network that protect it and more importantly, our SD-WAN makes sure that neither falls apart when it gets more complicated. When the world gets more complicated, like we are in today, we make sure that our SD-WAN and our quantum does not fall apart, Barrett.
Barrett Boone: That's very helpful. And congratulations again.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Jayesh Chandan: Thank you very much, Crystal. That was really helpful. some very impactful questions, some caught me off guard as well, which is interesting. But to all our investors, to our analysts and every person who's supporting Gorilla. First of all, thank you. You have trusted me, us and the entire Gorilla team long enough to let results replace speculation, okay? There are people out there who say, our contracts are garbage and our numbers are garbage, that's okay. It's speculation. We are building the AI infrastructure that government and critical industries will rely on, and we intend to execute with discipline. To everybody who knows me, they know me as someone who will execute with discipline. So what I will do is thank every single one of you. And I will stop here and hand over before my tea gets cold. It's 5 a.m., actually 5: 25, and that would be a genuine crisis for me. Thank you, everybody. Have a lovely day.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.